Operator: Good day, ladies and gentlemen, and welcome to Gogo, Inc.’s Fourth Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I would now like to turn the conference over to Varvara Alva, Vice President of Investor Relations. Ma’am, you may begin.
Varvara Alva: Thank you, Candace, and good morning everyone. Welcome to Gogo’s Fourth Quarter 2014 Earnings Conference Call. Joining me today to talk about our results are Michael Small, President and CEO; and Normal Smagley, Executive Vice President and CFO. Before we get started I would like to take this opportunity to remind you that during the course of this call we may make forward-looking statements regarding future events and the future financial performance of the company. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements on the conference call. These risk factors are described in our earnings press release and are more fully detailed under the caption Risk Factors in our annual report on Form 10-K and other Exchange Act reports filed with the SEC. In addition, please note that the date of this conference call is February 26, 2016. Any forward-looking statements that we may make today are based on assumptions as of this date. We undertake no obligation to update these statements as a result of new information or future events. During this call we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is also included in today’s press release. This call is being broadcast on the Internet and is available on the investor relations section of Gogo’s website at ir.gogoair.com. The earnings press release is also available on our website. After management’s remarks we’ll host a Q&A session. And now it’s my pleasure to turn the call over to Michael.
Michael Small: Thanks, Varvara, and thank you all for joining the call. Once again Gogo had an outstanding quarter. We continue to hit our three goals: bring more capacity to the sky, win more aircraft, and hit our numbers. In fact, every quarter in the year last year has demonstrated strong progress towards these goals. Before I get into specifics for the quarter and year I want to make sure I highlight what happened this week and how it impacts our business. In case you missed it, Delta recommitted to Gogo and specifically selected Gogo’s 2Ku technology for more than 250 domestic and international aircraft. We are very pleased to extend the relationship with our largest partner. We now have been awarded over 300 aircraft across six airlines that will receive 2Ku, an incredible achievement within a year of announcing this new technology. I’ve long touted the benefits of 2Ku, but I’ll summarize them again. Our analysis shows that 2Ku is the first commercially viable satellite solution for a number of reasons. It cuts the bandwidth cost in half when compared to traditional Ku solutions and it has the most extensive and resilient global coverage because it eliminates the skew angle problem and utilizes a large number of existing and future Ku satellites. To reiterate, I believe 2Ku will be the first commercially-viable solution outside North America, and will be as transformative to global aviation as ATG was when we first introduced it. With more than 300 air traffic awards in less than a year, the aviation industry clearly gets us. That’s point one. Point two: we know we have a capacity crunch in North America. This is obvious to you, our airline partners and their passengers. Each aircraft commitment to go those next generation technologies will help take the pressure off the network. ATG-4 is helping, 2Ku will help significantly more. This year we are targeting to reach 1,000 aircraft with ATG-4, about 40% of our installed base in North America. We expect 2Ku on Delta and United and, we would anticipate, other airlines to make a big difference in 2016 and beyond. More capacity with better economics on a global scale leads to a better customer experience and also paves the way for the Internet of Things in the sky. We’re already seeing airlines moving beyond passenger connectivity. For example, with Delta we’ve connected more than 18,000 flight attendant tablets and we’ll work with them on other products and services to connect the cockpit and hone us on the aircraft. This vision for connected aircraft drives my belief that this will be a $30 billion revenue industry. Gogo is well-positioned to capitalize on these trends because one, we have more broadband airplanes today; two, we are adding the most new planes; three, we have what we believe is the best suite of technologies and the most extensive operating experience and capabilities. Simply put, we deliver higher-quality solutions at lower cost. In addition to offering a significant competitive advantage in the international market, 2Ku is critical for our long term profitability. Based on the specifications of 2Ku in terms of bandwidth cost and coverage, we expect Gogo’s financial trajectory in the Rest of the World segment to mirror our experience in CA – North America which, as Norm will describe, is demonstrating a strong profitability trend. We expect this because we have very similar estimates for the average cost per megabyte of our ATG network and our 2Ku network, plus 2Ku is expected to benefit from higher peak speeds and more capacity. Rest of World’s current financial performance simply reflects that we started the business nearly six years after we lost service in North America. Compared to North American segments, Rest of World segment with 2Ku has similar economics and the opportunity is three times the size of the North American markets. Okay. Now that I’ve given you a taste of what’s to come I want to highlight our achievements for the quarter and the year. First, capacity, we continue to brand more ATG-4 aircraft, online and ended the year with more than 675 ATG-4 aircrafts or 30% of our North American install base. As mentioned in 2015, we expect to get ATG-4 on about 40% of our aircrafts in North America. We know this is helping with our capacity crunch but bringing 2Ku online, which is expected to begin later this year, will help even more. Second, aircraft wins. We’ve made remarkable progress on that front too. Goo has by far the most broadband planes online and we continue to win the majority of new aircraft awards in – we continue to win the majority of new aircraft awards in 2014. In the quarter we had two major awards both American and United selected Gogo to provide internet connectivity on their regional jet fleets. This means roughly 500 new planes will be added to our backlog which now sits at approximately 1,000 aircrafts. As you recall, in 2014 we added – we announced deals with Air Canada, AeroMéxico, Virgin Atlantic and Vietnam Airlines. On the BA side we shipped over 200 broadband connectivity systems for the quarter and nearly 1,000 broadband connectivity systems for the year, another record for the company. Between CA and BA we had nearly 5,000 broadband aircrafts online, about 10 times as many broadband planes flying as our nearest competitor. If you add the 5,400 CA satellite aircrafts online for that number you can see that Gogo service was available on roughly 20% of the global aircraft market. Our third and final goal was to hit our numbers which we did once again. Norm will get into details in a minute; I would like to highlight a couple points for you. Combined segment profit for CA North America and BA increased 72% to just over $24 million in Q4. For the year combined segment profit grew 80% and reached $89 million. This represents a combined segment profit margin of 22%. CA North America and BA segment performance over the past year extends a longer-term trend. Over the past five years combined segment profit in CA North America and BA business has grown from negative $89 million in 2009 to positive $89 million this past year. This swing happened even as we invested in next-generation technology, developed new products and services, and further expanded our operating capabilities. We are very pleased with these profitability trends. I want to wrap up by leaving you with this: first, we expect 2Ku to be a world leader, and I’m so very pleased with its adoption rate so far. Second, 2Ku’s stand with economics are expected to be very similar to ATG’s, so we expect Rest of the World’s financial trajectory to mirror CA North America. And lastly, we will continue to pursue new technologies with an eye towards more capacity at lower cost, which is the recipe for better passenger experiences and for the future of the Internet of Things in the sky. Again, thanks for joining the call. And I’d now like to turn it over to Norm to get into the financials.
Norman Smagley: Thank you, Michael, and good morning everyone. I’d like to point out that we have now been public for seven quarters. I’m happy to say that for the seventh time in a row I’m starting my section off by announcing we had another record quarter, this time reporting total revenue of $109 million, up 18% from last year. Our service revenue grew even faster, up 29% to over $89 million. The combined segment platform of CA-NA and BA increased 72% to $24 million for the quarter. Adjusted EBITDA was $1.2 million including a $22 million investment in Rest of the World and was up from a $0.3 million loss last year. Cash CapEx came in at approximately $12 million, likely higher airborne equipment proceeds received from our airline partners. This is truly a great financial performance. Now let’s turn to business segments. CA North America service revenue grew 25% to $68 million for the quarter. This was driven by a 22% increase in ARPA and an increase on aircraft online for 2,098 at year-end. Monthly average revenue per aircraft online reached nearly 11,000 in Q4 or more than 130,000 on an annualized basis, driven primarily by growth in the average revenue per session and the impact of the first full quarter of our T-Mobile and Delta Studio partnerships. CA-NA segment profit increased over $8 million from a loss of $2 million last year. The segment profit margin of 12% was driven by strong revenue growth and improved operating leverage. In fact, length of service as a percent of revenue declined by eight percentage points, driven by the scalability of our ATG network infrastructure; other operating expenses excluding D&A declined by five percentage points. Turning now to BA, total revenue grew 7%, over $39 million, and service revenue grew 35% to just over $20 million for the quarter. I want to highlight a significant milestone for you in these numbers. This is the first time BA service revenue exceeded equipment revenue. Why is this an important milestone? you might ask; because the service revenue stream is a higher margin than the equipment revenue stream. As we continue to add ATG units online with strong service revenue growth, the growing proportion of service revenue will have a positive impact on overall margins for BA. Equipment revenue for the quarter of $19 million was down approximately $3 million year-over-year, reflecting quarter-to-quarter fluctuations in equipment sales and the loss and associated spike in sales of Text & Talk at the end of last year. For the year, equipment revenue grew 11% to nearly $84 million, a solid performance. BA segment profit of $16 million for the quarter was unchanged from last year. Segment profit margin of 41% was down two percentage points, impacted by more engineering design and development spending being expensed versus capitalized and higher G&A expenses. Finally let’s move on to CA – Rest of the World. Revenue for the quarter was $1.3 million, up $1.2 million from a year ago. We finished the quarter with 85 aircraft online, more than doubling our installed base at the end of Q3. The segment loss of $23 million was up from $14 million a year ago, reflecting the cost of 10 more STCs to install our Ku solution on additional aircraft and higher transponder costs. We continue to invest in the development of 2Ku, our industry-leading global satellite technology that sets up our global presence and international sales and aircraft operation. Let’s now turn to the full year review starting with consolidated results. Total revenue was a record $408 million for 2014, up 24%. Service revenue grew 29%, over $322 million. Adjusted EBITDA’s nearly $11 million was up from $8 million last year, and included a $78 million CA – Rest of World segment loss as we continue to expand internationally. Cash CapEx was approximately $98 million for the year, down a bit from $104 million last year. We ended the year with $211 million cash on hand. Turning to the business segments for the full year, CA-NA revenue grew 26% to nearly $251 million driven by ARPA growth of 20% and increases in aircrafts online. CA-NA segment profit was just shy of $26 million up from a $1.3 million loss a year-ago representing a 10% margin. In fact our incremental segment profit margin for the year reached 53%, really, really strong performance. CA revenue grew 22% over $155 million. Service revenue of $72 million grew 38% driven by strong growth in ATG aircrafts online and service ARPU. Equipment revenue of over $84 million grew 11% driven by record ATG shipments of nearly 1,000 units and increases in equipment ARPU. Segment profit increased 24% to $63 million, a 40% margin. Let’s now take a look at the combined performance of BA and CA North America. I know Michael already mentioned this but I want to reiterate it. The combined segment profit for the year reached $89 million, up 80% from a year ago, representing a 22% segment profit margin. In just five years we went from a combined segment loss of $89 million to segment profit of $89 million dropping 48% of incremental revenue to the bottom line, now that’s leverage. Turning now to Rest of the World, revenue for the year increased to $2.1 million up from $1.6 million last year most of which was derived from a one-time software purchase. The segment loss increased to just over $78 million, we continue to invest in our global sales of operation support infrastructure, our global Ku coverage, up to any additional certifications for our Ku solution and development of 2Ku. Needless to say we are very pleased with the revenue growth and profitability performance of CA-NA and BA for the quarter and the year and the great progress we’ve made at Rest of the World. With that, let me now turn to guidance for 2015. For the full year we expect total revenue to range from $490 million to $507 million reflecting year-over-year growth of 20% to 25%. This includes CA North America revenue of $300 million to $320 million reflecting growth of 20% to 28%, BA revenue of $170 million to $180 million reflecting growth of 9% to 16%, and CA Rest of the World revenue of $15 million to $20 million. We expect our adjusted EBITDA to come in between $15 million and $25 million and our cash CapEx to range from $100 million to $120 million. What does this guidance translate into? Another really great year for Gogo. CA North American will continue to demonstrate strong revenue growth and profitability. We expect it to be cash flow positive, a major milestone for us. BA will also continue to demonstrate strong revenue growth, profitability and cash flow. We will continue to develop and execute our market segmentation strategy to further penetrate the BA market with an expanded ATG product line, driving units online and service revenue growth, which will positively impact segment profit. Finally, BA Rest of the World is now operationalized with more aircraft being installed, which will drive revenue growth in 2015 and beyond. Our CA Rest of the World segment is also expected to increase at a slower rate in 2015 as we generate increased revenue while focusing on signing new airlines, launching existing partners, getting 2Ku deployed commercially and further developing our international presence and capability. As Michael mentioned, the CA Rest of the World and CA North America businesses are very similar, and with 2Ku having economics similar to ATG we expect the Rest of the World business to follow a financial trajectory similar to what CA-NA did. And with the World market being three times the size of the North America market, we believe Rest of the World will generate even greater value for Gogo’s shareholders in the long term. Operator, we’re now ready to take our first question.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Phil Cusick of JPMorgan. Your line is now open.
Phil Cusick: Hey, guys. Thanks. I guess a few, first if you can talk about your Delta announcement yesterday. You mentioned the next-generation ATG beyond ATG-4. It might be a little early, but can you give us some color on what you hope to do with that technology?
Michael Small: Good morning, Phil. Sure, we can comment on next-gen ATG. There is a real benefit to ATG technology for aircraft that stay over the land mass continentally United States. You’ve got lower cost installs and overnight installs, but more importantly if there’s a lot of spectrum available you get the most speed at the lowest possible cost, so bandwidth at the lowest possible cost. The FCC is considering the 14-G option that would be the most possible spectrum we could imagine coming to market. There are other alternatives to consider if that doesn’t happen. It’s our business to get the most bandwidth to the most planes, and next-gen ATG is definitely an attractive option in North America.
Phil Cusick: Okay. So it really is that next generation of spectrum coming out. And then it seems like the RJ deal momentum really accelerated in the last few months. Does that – is that sort of as one guy kicks it off, the others sort of feel like they have to follow and should we look for something similar in international in 2015 from acceleration of a deal momentum?
Michael Small: You described the airline business perfectly, if one does it the others have to do it. So we saw that happen in the U.S. with RJ’s. Inevitably that happens with connectivity globally and so there’s two factors that are going to trigger the rapid adoption around the globe with in-flight connectivity. One is the snowball just gets going; one does it the others have to do it. Secondly is our 2Ku solution, it is in my opinion and with very clear analysis on our part the first commercially viable solution. The reason it hasn’t taken off in the Rest of the World, there was no good connectivity solution prior to this. We now are bringing one to market, we’ve seen six airlines adopt this within one year of announcement, that’s remarkable and now we have a really big one with Delta.
Phil Cusick: And then a last question, I just think a lot of people are confused how the economics can be the same on 2Ku and ATG and is that sort of on a per byte basis or is that on a more from what you expect people to actually use in terms of volumes?
Michael Small: That’s on a per byte basis. It’s different in that one’s a fixed cost solution, ATG, you fill the network and you fill it up and you get to an average cost per megabyte when the bucket’s full and as you know our bucket’s pretty full there. But we know what that number is, there’s no guess work, we can just do the math. And then we do the engineering on 2Ku and we buy transponder by transponder but we get the same cost. So our marginal cost and our average cost is reasonably similar in 2Ku, our marginal cost is lower in ATG but it turns out our average cost comes out about the same. So that makes us very confident that we have essentially the same average cost structure in the Rest of World now as we do in the U.S., it’s going to be the same business. They fly the same planes everywhere, the demographics of the people on the planes are the same everywhere around the globe, we now have a real solution that works everywhere around the world in 2Ku.
Phil Cusick: Great. Thanks, Michael. Oh...
Norman Smagley: The question you’ve asked, Phil, hits on the power of why 2Ku technology is the world leader that we believe it is. One of the economics, it gives us half the cost of operating versus any of our competitors, transitioning to far better coverage and lower drag for the airline and less fuel burning. So you hit on one of the key elements for us.
Phil Cusick: Got it. Thanks, Norm.
Operator: Thank you. And our next question comes from the line of Simon Flannery of Morgan Stanley. Your line is now open.
Simon Flannery: Great. Thank you very much. You’ve had a little bit of experience now with the international fleet; can you give us a little bit of an insight into the ARPA trends, take rates, et cetera? I know it’s sort of apples and oranges between Delta and JAL, but any color there are we start to think about modeling that out? And then with the Delta transaction, has anything changed in terms of either the rev share or how that is priced, because I know some of the airlines are keen to take back branding, take back maybe some more control over the customer interface. Thanks.
Michael Small: Okay. So the second – well, go ahead, Norm.
Norman Smagley: Yeah. So Simon, we’re really just getting installs off the ground now. Until the service is more available on the Delta and JAL fleets and the airlines really get behind it, the metrics really at this point are not that meaningful.
Michael J. Small: You maybe I’d add a couple things. One is we’ve given you a reasonable guidance on the number of planes and reasonable guidance on the revenue so you can do some math if you’d like, but we are now approaching critical mass on those two fleets, both Delta International and JAL. And for the airlines to get behind it they need a decent number of planes installed. They like it predictable for their passengers to go see the service. So they – we’re very pleased with the way it’s going. We think our Ku performance with our traditional Ku is performing very well, better than we’ve seen any other Ku network perform out there in the marketplace. And somewhere during the middle of this year both those airlines will get really behind the service.
Simon Flannery: Okay. And on the...
Michael Small: And then on the Delta announcement that they’ve selected us, we don’t comment on individual deals in general. I would say there’s confidentiality, predictions inbound, I’ll make a couple comments though. The deal is very consistent with our long-term financial expectations for this business. We’re very pleased with it. It’s a huge win. It brings more bandwidth to the sky to the benefit of the airline and to us; that’s how we grow our business is by bringing bandwidth there. So it’s an excellent deal. The one term in the contract that will be disclosed in our 10-K when it is filed shortly is that there were – there will be contract extensions. Now the first Delta contract will expire in 2022 and then the – a couple other contracts considerably after that.
Simon Flannery: Right. Okay, thanks very much.
Operator: Thank you. And our next question comes from the line of Jonathan Schildkraut of Evercore ISI. Your line is now open.
Jonathan Schildkraut: Hi, it’s Rob for Jonathan. I was wondering – I realize you can’t comment much, but I was wondering if you could say who pays, amid the Delta announcement, who pays for the upgrade to 2Ku? And what happens to the ATG systems that are already in place? And what are the potential implications that change?
Norman Smagley: Well, first of all, this is not an upgrade from our perspective. It’s an entirely new technology. Secondly, no, we’re not going to get into the terms of the specifics in the agreement regarding CapEx or anything else, as Michael mentioned earlier. And three, the existing equipment on the plane will likely stay on the plane. No?
Michael Small: No. We’ll generally be removing the...
Norman Smagley: ATG-4.
Michael Small: ATG-4 from the 2Ku planes. I will reiterate, this is a very positive financial transaction for Gogo. If you don’t like this deal you do not like 4G on the ground and should be recommending we go back to 3G. This is the next generation. It allows us to continue to grow our business and will help us accelerate take rate. It will help us introduce the – all the new operational apps. It will help us connect the crew. It will help keep continuity coverage as these planes fly to the Caribbean and Mexico and Hawaii. This is a very good thing both for Gogo and for Delta.
Jonathan Schildkraut: Okay. Thanks for taking my question.
Operator: Thank you. And our next question comes from the line of Dick Ryan of Dougherty. Your line is now open.
Dick Ryan: Great. Thank you. Congratulations on a good quarter, guys. Couple of things that were a little better than expected: Gogo Vision, Norm, I’m not sure if I caught what you said was the driver behind the strong performance in that in the quarter and how should we view that going forward?
Norman Smagley: So the key driver behind Gogo Vision was really at Delta Studio, which we’ve been honest in talking about before. It’s a great partnership with Delta where they’re providing entertainment to all their passengers, some on a free basis, some content available to everybody, and then for the folks in the back end of the plane premium content available for a fee.
Michael Small: I could also add that very late in the quarters they didn’t have much impact on fourth quarter retails. Alaska Airlines also launched what they call Alaska Beyond and have Gogo Vision deploy there with free content for the passengers at least for the initial launch stage. Very successful program there, they’re very pleased with it. And furthermore that Alaska Beyond uses our new server for the plane, we name it our clever ACPU-2, but it’s – that also has what we call autonomous mode so the Gogo Vision can work even when there is no connectivity so when Alaska flies out to Hawaii the service works there to. So now Gogo Vision is a truly global product, it’ll work anywhere on the globe.
Dick Ryan: Great. And maybe one more, when you look at the next generation technology and or Delta choosing 2Ku, do any of those initiatives impact GTO? I haven’t heard much of that lately.
Michael Small: Yeah. So GTO and 2Ku are essentially the same technology, GTO will only work though over the continental United States, it has to be married with the air-to-ground network to work and it turns out that most the planes that would want the increased capacity first are the larger planes which tend to fly over water at times, maybe not all the time but even 10% or 20% or 30% of the time. So we would expect that most of the airlines choose 2Ku, as we speak we are installing GTO on our own aircraft and that will be flying any day now.
Dick Ryan: And when will your aircrafts fly 2Ku, Michael?
Michael Small: About midyear, late in the second quarter.
Dick Ryan: Great. I did have one last one; can you talk about line-fit, what you think of your timeline for line-fit?
Michael J. Small: Sure. We’re making tremendous progress with line-fit. Boeing, we have numerous programs going across multiple technologies, on provisions which means the cabling for our equipment is already in the Boeing catalog and available for airlines and that’s proceeding steadily. That’s another good point to bring up about how attractive the new Delta announcement is, on the international side with 2Ku they’re talking about their Airbus fleet, the new A330neos as well as the A350s. We now have a very important customer of Airbus’ approach Airbus and say this equipment needs to be line-fit. We think that greatly enhances our prospects for line sets with Airbus.
Dick Ryan: Great. Thank you.
Operator: Thank you. And our next question comes from the line of John Hodulik of UBS. Your line is now open.
John Hodulik: Okay. Thanks. The take rate in North America was flattish on a year-over-year basis. Is that – are we seeing that sort of topping out? Or are you guys using prices to sort of manage through your capacity issues in North America?
Michael Small: Yeah, we are very heavily using price to manage the capacity issue right now, and we’ll continue to do that. You can see that average revenue per session went up over a buck, well over a buck, year-over-year. It also reflects that there was a sponsorship activity in fourth quarter of 2013 so that – a bunch of that sponsorship, it would have been up a little bit, but the underlying impact is we are managing take rates by raising price.
John Hodulik: So it’s – first of all are you guys going to be able to, any of the initiatives you described earlier, is that going to help alleviate the – some of the capacity issues you have in 2015? Or do we really have to wait until 2016 for that? And then if you are able to do that, does the greater flexibility between that sort of price/volume relationship, will that eventually lead to sort of improving trends in the revenue per aircraft sort of number?
Michael Small: Okay. So in – first in 2015, the primary levers to manage capacity is additional ATG-4 deployment, and we’re going to get to about 1,000 aircraft this year, up from 675 at year-end last year. And that – the ATG-4 planes no doubt perform better than the ATG, we see that quite clearly, but price will be a big lever. You’re also correct though, and as we tried to say in the script, it takes 2Ku to make a big difference in the capacity situation. Those deployments will begin in 2016 and really continue 2017 and 2018. But ultimately, like all wireless and really all telecommunications industry, it’s all about getting more bandwidth, and Gogo keeps coming up with better bandwidth solutions and we think we lead the industry in that. That’s why we keep winning the planes and keep taking the share.
John Hodulik: Do you think the 2Ku solution will come – I mean obviously you’re going to have a – I mean versus what you sort of see today on a plane-by-plane basis, dramatically higher amount of throughput that you can deliver to the seat. I mean do you think that will change the pricing dynamic I guess for – on those planes?
Michael Small: More bandwidth always, always, always dramatically increases the pie, whatever telecommunications industry I’ve seen. So yes, pricing per byte will clearly come down significantly when you bring more capacity, whether what happens per session or per passenger, we’ll have to see. But it will fuel total revenue growth in a significant way as you bring more bandwidth to bear. It always does and it will do it here again.
John Hodulik: Got it. Thanks, guys.
Operator: And our next question comes from the line of James Breen of William Blair. Your line is now open.
Louie DiPalma: Good morning. This is Louie DiPalma on behalf of Jim Breen. Earlier this month ATG-4 debuted for Business Aviation, I was wondering what is the average price premium of ATG-4 compared with ATG-1. And has there been significant pent-up demand for this service that should benefit first quarter results?
Michael Small: So we did introduce ATG-4 in Business Aviation just recently. It will – it won’t materially impact results, I think the first installs will start happening in the probably second quarter this year. But it will help in the long run and it’ll be priced in the order of magnitude at twice what ATG is priced at. That does bring up the bigger point about Business Aviation, we did have a record year last year in number of ATG units shipped and last year it turned out pretty evenly across all four quarters. And we’re excited about that but what we want to do in Business Aviation is segment the market. It turns out it really is a highly differentiated market from plane valued over $50 million to planes valued down around $1 million or less. So we are not only introducing what we’re calling ATG 8000 at the high end which is our ATG-4 technology, we’ll be introducing lower end solutions too and we think that segmentation process is going to be very helpful to our long-term sales rates.
Louie DiPalma: Great. And another one if I may, at the Analyst Day in June of last year, Niels targeted having contract awards for 500 to 1,000 Rest of the World aircraft at the end of 2015. Is there any update to that goal given the recent deal momentum internationally? And can you comment on the international competitive dynamic with Panasonic, OnAir, Global Eagle, et cetera?
Michael Small: Sure. First that isn’t exactly what we said at the Analyst Day. We said somewhere between 500 and 1,000 planes we could reach profitability with that number of aircraft is what we said. International sales have been slower than we would have said at that time, roughly a year-ago. No one signed up anything in fact we signed up the – I think preeminent deal last year in Virgin Atlantic. I think the catalyst is now going to be the deployment of the Delta international fleet, of course others do match but the bigger catalyst quite frankly is 2Ku. Prior to 2Ku there was no good global solution, Ku, plain old Ku which we do have in some planes, it does work operationally but it’s very expensive, it’s hard to make money and it has a significant, that skew angle problem which affects about a quarter of the surface of the planet, it’s not a trivial issue, it’s a lot of square miles, it does affect certain routes. With 2Ku solving those problems there is now any airline can pretty much pick 2Ku and know it’s going to work at good economics for their route structure. Just like ATG jump started the business in the U.S., it was the first solution that worked, 2Ku is that same solution globally.
Louie DiPalma: Great. And lastly, Inmarsat’s one of your key partners and you obviously operate the paradigm air-to-ground network, do you have any plans to play any role in Inmarsat’s European air-to-ground network?
Michael Small: We have no comment on that. I would say that in general in the Rest of the World, satellites will be the predominant technology. There’s too many countries, too much different jurisdictions to get spectrum in, not obvious serving area that works. The Continental United States is kind of unique in that; Europe it’s hard to define the beginning and the end. And you’ve got the Mediterranean, the North Sea to deal with and the Baltic and it just doesn’t work as well as it does in the U.S. So having said that I’m sure that ATG networks will pop up around the world but it’ll be kind of an off-loader, a supplement to what will fundamentally be a satellite solution globally.
Louie DiPalma: Great. Thanks, Mike.
Michael Small: Thanks.
Operator: Thank you and our next question comes from the line of Andrew DeGasperi of Macquarie. Your line is now open.
Andrew DeGasperi: Good morning. I wanted to ask a question on the spectrum, the 14 gigahertz that you could potentially bid on in the long term. Do you see any other players potentially coming to that auction, or are you – would you be the only bidder? And, secondly, it sounds like if you were to bid for this asset, economics must be superior even to 2Ku, at least in North America. If you could just maybe comment on those two things.
Michael Small: Sure. So, I have no idea who the other bidders will be. I will say that Gogo not only has the most planes to deploy this technology on but we also have the most experienced designing, building and operating ATG networks and using this 14 gigahertz spectrum on a shared basis with the Ku satellite providers is a relatively complex engineering challenge, so we think we have huge advantage in dealing with that. I mean, we have been evaluating this for several years. So, and – I’m sorry, the second half of your question was...
Varvara Alva: The economics.
Michael Small: Okay, economics. Yeah, the economics. Yeah, so Air-to-Ground’s for getting on the spectrum’s Air-to-Ground’s far more efficient than satellite. Satellite usually wins by having more spectrum than you can find on the ground but in the 14G case there’s up to 500 megahertz being auctioned so there’s a massive amount of spectrum for an Air-to-Ground network. You’ll bring down the cost per megabyte by orders – many orders of magnitude with this potential solution.
Andrew DeGasperi: Thanks. And then I just had two more. Internationally would you say airlines at this point are more receptive to vendor financing similar to what you do with Delta and American at least on the legacy contracts? Or are they more willing to pay for the equipment? And secondly, Norm, can you give us maybe a little more color on the moving parts for CapEx in 2015?
Michael Small: Okay. So on – in the grand scheme of things, our connectivity solutions are very inexpensive for the equipment. If you crack a windshield on an aircraft you basically – and have to replace it you’ve basically bought a connectivity system. If you want to install a row of lie-flat business class seats you’ve basically bought a connectivity system. This is a relatively inexpensive solution that is very transformative to the airline. So the CapEx will not be in the way. Remember when we first did this it was – yeah, it was unproven technology, our part, no-one had ever done broadband connectivity to plane. And secondly it was coming out at 2008, Great Recession time. So between those two factors it was the right decision at the time. I think the airlines will pay for this whether from us or anybody else because they need it just like you buy communication services for your services, you can’t operate without it; you’re going to spend the money.
Norman Smagley: Yeah. In terms of CapEx, total for 2015 would be about the same rate as 2014, as you know we don’t get into delineation of the major components but there’ll be similar drivers in 2015 as 2014. We’ll have another 300 plus or minus ATG-4 upgrades, we’ll have continued development, technologies capitalizing software plus some additional build-out related to our new corporate headquarters and it will be pretty much the same components as last year.
Andrew DeGasperi: Great. Thank you.
Norman Smagley: Yeah.
Operator: Thank you. And our next question comes from the line of Dick Ryan of Dougherty. Your line is now open.
Dick Ryan: Great. I just had a follow-up, looking at bandwidth costs trying to look at the $10.8 million in Q4 versus kind of the current expectation for satellite based plane flying. Which geographies have you lit up and are you committing now to HTS capacity for 2016 and how should we look at bandwidth costs for 2015, Norm?
Norman Smagley: So I mean we’ve lit up the world. We added some additional – we filled in a couple of holes during 2014 but we’ve been providing a global network since the end of 2012.
Michael Small: And as far as the trends in transponder costs and the amount of capacity you get for the buck is very good right now. The high throughput satellites will really start getting launched next year and it will only accelerate the Ku community, the Intelsat’s and SES’ of the world will start putting up several satellites a year and they are consulting with us on design so they meet our needs. It’s not only the inherent cost per megabit that you consider but is the capacity in the right spot and is it architected right. And so advertising a super high throughput but if it happens to be designed for backyard dishes, it’s not very useful for aviation. We will get the satellites – we’ll get the new technology satellites architected to our needs which will help our cost effectiveness.
Dick Ryan: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Carter Mansbach of Jupiter Wealth Strategies. Your line is now open.
Carter Mansbach: Good morning, gentlemen. Congratulations on another really consistent and solid quarter. I have two questions, one is regarding texting. So by my math you had a six month deal with T-Mobile that deal should be over in the next couple of weeks. I want to know, is it now open to the rest of the industry? Should we be looking for deals with Verizon and AT&T? And the second question I have is about the model of future Wi-Fi. So, Michael, you’ve been pretty accurate since I met you a year and a half ago regarding the way the trends are going so I want to know what you see six months, a year out, do you see the Delta model for Gogo Vision eventually becoming the model for some carriers if not all where you guys no longer wait for Mr. Jones to slide a credit card, you actually get paid by Delta themselves, they’ll give it to – they pay you and they can either give it for free, Delta First Class, whatever, but I guess what I’m asking is are you looking for the model to change a bit where it’s not just Mr. Jones sliding a credit card, it’s the airlines subsidizing it or paying for it?
Michael Small: Well I think the model will evolve, I mean ultimately Gogo is creating – is providing connectivity to aircraft and then a platform for which the airline, the passengers, the crew and the rest of the aviation ecosystem whether you make engines or avionics, anything can use this platform to connect whatever they do. So it’s going to get a lot more sophisticated, a lot more open than simply what you described whether it’s the passenger pulling out the credit card or the airline simply paying for it. The internet in the sky is going to be like the internet on the ground and it needs to be open and it needs to be available to everybody that wants to use it and it shouldn’t just be constrained to Gogo’s ideas, it should be constrained to all the great ideas that can come out of the broader ecosystem and Gogo is going to provide the connectivity and the software platforms to access that connectivity so we can fuel all that.
Carter Mansbach: Okay. Great. Now as for the texting question?
Michael Small: The texting question, yeah, you are correct that the exclusivity at some point will be ending, but we can’t comment about future deals. And I would think about texting as – in the concept of the big – in the construct of the bigger picture it’s one application, it’s a cool application, I think it’s going to have a lot of applicability, particularly why our prices are high for basic connectivity. There will be a lot of people want to use it, but it’s just going to be one of hundreds of applications that are going to appear in flight.
Carter Mansbach: Gotcha. Okay. Let me ask you one last thing, as for – you guys do an amazing job on social media. I follow as people put in complaints, people are positive, what I wanted to know is can you give me any type of feel on the feedback of ATG-4 versus ATG? I know you keep real good stats on that in the way of people being happy with the newer product?
Michael Small: Yeah, we track social media, we track chat rates, we track our [ph] customers, surveys, we track what our airlines tell us, we track what our internal systems tell us, our internal monitoring, and ATG-4 outperforms ATG clearly. There is absolutely no doubt about it. So getting it on more planes matters. We also like that directional antenna on ATG-4 versus the omni antenna on ATG, and our engineers will tell you they’re a lot happier when the directional antenna’s on the network other than the other antenna. So everything about ATG-4 is goodness, it’s just quite simply we need even more capacity than that, which is why 2Ku, we’re so excited about that announcement today.
Carter Mansbach: All right, gentlemen. Thank you so much and congrats again on a solid quarter. Take care.
Michael Small: Thanks, Carter.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the conference back over to Mr. Michael Small for any further remarks.
Michael Small: Okay. Thank you, everyone, for joining us. We’re absolutely thrilled with the new Delta deal and the strength in the quarter. We look forward to talking with you over the course of the next couple days to answer any additional questions you may have. Great day, thanks.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program and you may all disconnect. Have a great day, everyone.